Operator: Welcome to the Wendy’s and Arby’s Group Inc. fourth quarter and full year 2008 conference call. Our host today are John Barker, Chief Communications Officer; Roland Smith, President and Chief Executive Officer; and Steve Hare, Chief Financial Officer. All participants have been placed on a listen only mode. The floor will be opened for questions and comments following the presentation. I would like to John Barker.
John Barker: The agenda for today’s conference call and this webcast will begin with remarks from our President and CEO Roland Smith who will discuss the future growth for the company, an overview of our fourth quarter results, an update on our strategies to drive performance in our brands, progress we’re making on the merger integration and key profit drivers. Then, our Chief Financial Officer Steve Hare will review financial results and several other topics. Roland will then wrap up the call with some concluding thoughts before we open the line for questions. Our main focus on today’s call is to discuss the fourth quarter which is the period when the current management team began leading the company, as well as our future plans to grow the business and generate shareholder value. I’d like to summarize what is included in the financial statements which are attached to today’s earnings release. We provide a full P&L for consolidated fourth quarter and 2008 results. This includes nine month of pre-merger results for Triarc and one quarter of post merger results for the combined Wendy’s and Arby’s. You need to understand the difference when looking at the quarterly and the annual comparisons between 2008 and 2007 as they are not meaningful. We also are providing a key balance sheet items. Also included today is a table that shows for the fourth quarter of 2008 our EBTIDA, a reconciliation of EBTIDA to the reported net loss and adjusted EBITDA which excludes facilities relocation, corporate restructuring and integration costs. We are providing quarterly data only for the 2008 fourth quarter because it reflects the period in which the current management team operated the company. We also provided selected financial highlights for each brand and you’ll find same store sales, revenues, four wall EBITDA margin, restaurant EBTIDA margin that is and the total number of restaurants. The final page of the attached tables includes selected pro forma data for the 12 months ended December 28, 2008 and Steve Hare will talk more about this later. I’d like to point out that we are not providing pro forma results for the 2008 quarters with this earnings release. Our previous filings with the company included year-to-date pro forma data through the third quarter of 2008. Today’s release includes 2008 pro forma adjusted EBITDA which will help investors understand the underlying operating performance and we are providing information about our outlook for 2009 to 2011 which we believe is more meaningful. Roland and Steve will both talk about our outlook information. Please note that our earnings release as well as all the financial statements, other historical investor information and filings is all available on our investor relations section of our website at www.WendysArbys.com. Now, before I begin I’d like to refer you for just a minute to the Safe Harbor statement that is attached to today’s earnings release. Certain information that we may discuss today regarding future performance such as financial goals, plans, developments is forward-looking. Various factors could affect the company’s results and cause those results to differ materially from those expressed in our forward-looking statements. Some of those factors are set forth in the Safe Harbor statement that is attached to the news release. Also, some of the comments today will reference non-GAAP financial measures such as earnings before interest, taxes, depreciation and amortization. Investors should review the reconciliations of non-GAAP terms to the most directly comparable GAAP financial measure. Now, let me turn it over to Roland.
Roland C. Smith : Thanks for joining us on our first quarterly conference call for Wendy’s Arby’s Group. On our call today I plan to discuss an overview of the fourth quarter results we reported this morning, an update of our brand strategies and the current restaurant environment, progress we are making on our merger integration and key profit drivers and our outlook for achieving EBITDA growth for the next there years. Let me start with our outlook for the business. We are beginning to revitalize the Wendy’s brand and we have an excellent strategy to drive improved performance at the Arby’s brand. At their foundation both brands feature high quality products and have a long history of success, excellent franchisees and very experienced management teams. As we notes in our earnings release today, we are building good momentum in the Wendy’s brand with positive North American system wide same store sales in the fourth quarter, up 3.7%. We have key initiatives to improve Arby’s sales built on the introduction of new products, marketing and operating strategies and we’re on track with our key profit drivers to reduce G&A on an annualize basis by $60 million and to generate $100 million in incremental annual EBITDA by improving Wendy’s restaurant margins by 500 basis points. By executing our plans we are confident we can deliver average annual EBITDA growth in the mid teens through 2011. We’ve identified seven key growth drivers: same store sales growth at Wendy’s and Arby’s; margin growth at both brands; excellent control of G&A; the addition of breakfast at Wendy’s and Arby’s; new restaurant development at both brands; dual branding; and international expansion. I’ll took more about long term growth opportunities later on the call but I’d like to begin with a brief review of the results for the fourth quarter which occurred after we closed the merger on September 29th. Our adjusted EBITDA for the fourth quarter was $74.4 million. Our quarterly results reflect good controls of G&A expenses and positive same store sales at Wendy’s but were negatively impacted by negative same store sales at Arby’s and significant food cost pressures at both brands. I’ll talk more about the brands in a few minutes. As stated in our earnings release, we recorded after tax special charges totaling about $418 million in the fourth quarter related primarily to goodwill impairment. Steve will discuss the financial details of the special charges later. Now, I’d like to talk about our Wendy’s and Arby’s businesses. At Wendy’s we produced strong North America same store sales in the fourth quarter of 3.6% in company restaurants and up 3.8% at franchise restaurants. This was among the best performance in the restaurant industry. We launched initiatives in the fourth quarter to begin improving transaction trends, enhance our marketing and reestablish operational excellence in our restaurants. To compete for the value oriented customer and drive traffic during this very challenging economic environment, we launched a new campaign anchored in what we call our value trio. The value trio offers a double stack, junior bacon cheeseburger and crispy chicken sandwich for $0.99 each. We advertise this as THREEconomics and I hope you’ve seen it on TV. The ads are resonating with consumers and scored highly in awareness and persuasion. Additionally, the good news is that even with our value trio, the percentage of sales from our $0.99 products is now only about 15% which is down from close to 20% a year ago and more in line with our peers. Last year we moved certain menu items such as chili, baked potato and chicken nuggets off our $0.99 value menu and they are now priced higher at about $1.19 to $1.39 in company stores. Today, our value menu at company stores has only five items priced at $0.99 including the value trio sandwiches. This value allows us to continue offering compelling value to our customers with some core $0.99 items but also begins to lower our food costs and contribute to our margin recovery. We are also focused on improving several of our core products including our sandwich buns, French fries and bacon as we commit to reestablishing Wendy’s as the clear quality leader in the QSR hamburger segment. Customers know that Wendy’s offers fresh foods, quality ingredients and made to order sandwiches. We started talking about these benefits in our advertising and we’ll focus even more in the future on messages about our fresh, never frozen beef and premium chicken. In February we began featuring our premium fish sandwich which is a great tasting product. We will offer the product through the Lentil season and we are aggressively advertising the quality of this product. It’s hand cut, Panko-breaded North Pacific cod which as you know is very unique to the QSR space and confirms to the customer Wendy’s quality position. Later this year we plan to introduce new premium chicken products and a signature premium hamburger to mark Wendy’s 40th anniversary. Overall, we’re beginning to fill our new product pipeline and I am confident about the work underway by our marketing and R&D teams. We have installed a very disciplined product development and testing process and we are excited about this area of our business. As you already know breakfast is a huge opportunity in our industry and it is the fastest growing day part. Wendy’s launched breakfast more than a year ago but unfortunately the products did not resonate with customers, they just weren’t very good. A few months ago we announced plans to retool breakfast and focus on three key markets: Pittsburgh, Kansas City; and Phoenix and therefore we further reduced the number of company owned Wendy’s restaurants that served breakfast. This reduction in the number of stores offering breakfast in the fourth quarter negatively impacted our company same store sales by seven tenths of a percent. Therefore, our company same store sales would have been up 4.3% without the impact of offering breakfast in fewer locations. Going forward, as we report our comps in the first, second and third quarters we believe the negative impact from not having breakfast in as many company stores will be about 1.5 percentage points. Our plan to restage breakfast will be centered on differentiating our Wendy’s breakfast products and making sure they are high quality, great tasting and easy to execute. Also, by streamlining the breakfast operations, we expect to lower the breakeven for each store and drive profitability. We expect to demonstrate an attractive return on the breakfast investment to the Wendy’s system and then prepare for a national introduction by 2011. We’re also focused on driving sales and profits with better operations. This is really about improving Wendy’s performance in key operating attributes that impact customer satisfaction like superior hospitality, faster speed of service, better order accuracy and improved cleanliness. As we stated previously, we are focused on improving Wendy’s restaurant margin from approximately 12% in 2008 to 17% by the end of 2011 which will produce $100 million in incremental annualized EBITDA. About half of the 500 basis points will be derived in labor in the area of efficiencies such as reducing the overall number of crew hours available to managers based on the revenue that they deliver. In the fourth quarter of 2008 we delivered about 100 basis points in restaurant margin improvement from labor efficiency and other restaurant operating expenses. Now, this was offset by soaring food costs but we have begun to see food costs decrease in the first quarter in 2009 from the highs reached late last year. In addition to labor, about 140 to 180 basis points of our 500 point goal will come from more efficient management of repairs and maintenance as well as tighter control on services, supplies and utilities. Finally, the remainder of our restaurant margin improvement is going to come from food including mix shift to higher margins products and by ensuring that we manage closer to our theoretical food costs. During 2009 we expect to achieve about 160 to 180 basis points improvement compared to 2008 resulting in a run rate improvement by yearend of approximately 250 basis points or half of our three year target. In addition to progress on improving margins, we are making meaningful improvements in key operation areas under the leadership of Wendy’s President David Karam and Chief Operating Officer Steve Farrar. For example we have increased the number of A and B level or very well operated stores from 32% of the system in the first quarter of 2008 to 51% in the fourth quarter. These quality scores are generated from rigorous store audits performed by our QSE managers. We also carefully track information from customers with our Queststar customer feedback program. In the most recent quarterly analysis customer’s told us that we had made significant progress over the past year in pick up window speed of service, order accuracy and cleanliness. I believe this data is a clear indication of our progress towards reclaiming operational excellence and our improving operations will help us generate repeat business. This is an important component of our ability to drive same store sales growth. A final point about our Wendy’s business, we have worked diligently to form a positive and collaborative relationship with our franchisees. Last September David Karam, Steve Farrar, Ken Calwell and I all spoke at the Wendy’s Franchisee Convention shortly before the merger was completed. We continue to meet regularly with franchisees to discuss our detailed plans and progress and we just recently completed a seven city road show in North America to update them on our first 100 days and the franchisee feedback was very positive. We realize how important positive franchisee relations are to the revitalization of the Wendy’s brand and we’ve made a commitment to build on our excellent start. In summary, on Wendy’s while it is early in our journey, our fourth quarter sales were encouraging and we are building momentum. We have an outstanding management team in place and we have a clear game plan to deliver positive same store sales and margin growth in the first quarter of 2009 and beyond. Now, let me talk about our Arby’s business. Arby’s same stores sales declined during the fourth quarter due to challenging economic conditions and competitive activity. Our sandwich competitors continued to discount at unprecedented levels while many QSR chains move aggressively to dollar menus. Last year when the economy began to soften leading to significant discounting by competitors, we made the strategic decision to stay focused on premium products in order to maintain check and restaurant margin at Arby’s. History has showed us that discounting your premium products usually results in long term damage to the brand. Because of this decision during the fourth quarter Arby’s faced negative transactions and loss share to chains focused on deep discounting. Through turnaround sales and improved restaurant margin we are working aggressively on initiatives to increase transactions, improve restaurant operations and introduce new menu items. Let me give you the highlights of our new strategy at Arby’s. Arby’s is positioned in the marketplace as a favorite place for people that crave unique alternatives to traditional fast food. Most of you know us for our signature hand carved roast beef sandwiches but we are also leaders in premium market fresh sandwiches and toasted subs. Higher quality food equates to higher prices for that food and therefore we have been able to enjoy a higher check average at Arby’s compared to the industry average. Our average check is about $7.50 compared to less than $5 for a typical QSR purchase. Arby’s higher average check has provided a challenge with the weakening economy as customers traded down to dollar menus and $5 foot long subs. Rather than discount our premium products Arby’s marketing strategy is to increase frequency among loyal customers by leveraging our equity and our thinly sliced and lean roast beef. Our core Arby’s customers which we call medium Arby’s customers or max, represent 50% of our sales and visit our restaurants approximately 1.6 times per month. If we increase max visit frequency from 1.6 to 1.7 times per month that would produce a 3% improvement in same store sales. This is good news because as you know it is easier and less expensive to increase the frequency of an existing customer rather than to bring in a new one. Medium Arby’s customers told us that they would visit more often if we offered more roast beef choices and provided better service. So, to achieve higher visit frequency we return to the heart of our menu with our new roast burger line of sandwiches which feature oven roasted, thinly sliced roast beef with classic burger topics. Our roast burger line of sandwiches represent a new choice in fast food and we are offering them in three varieties: all America; bacon and blue cheese; and bacon and cheddar. They are priced at $3.59 which represents a good value for a unique quality product that you can only get at Arby’s. We are launching roast burgers this week with heavy media support and significant public relations. For example, our PR blitz includes Arby’s as an official sponsor of CBSSports.com, NCAA basketball brackets on Facebook. Most importantly, results from test markets were encouraging and we are excited about this new platform for Arby’s. We expect to generate improvement in sales trends as we launch this new product line. Later this year we will extend our product line to other roasted meats: roast chicken; turkey; and ham as we reestablish Arby’s quality leadership in the premium sandwich category. In addition, we’ll continue to talk to customers about other traffic and check drivers like swirl shakes, side kickers and curly fries which are all QSR favorites. While we are committed to our premium positioning, we must still acknowledge the economic hardships many customers currently face. Until recently we had began testing several value oriented promotions on new or selected items including $1 everyday deals, pick four for $5 and $1.99 roast beef patty melts. We plan to offer the most compelling of these value promotions later in 2009. Increasing frequency among max and regaining sales momentum at the Arby’s brand is not simply a function of new products, we must also ensure that we offer our customers the very best service. To accomplish this, we will improve operations through two new programs: red hat service; and promise check. Our red hat service program has recently been rolled out to the system. The program is centered around significantly improving hospitality by hiring friendly people, making sure that we reward hospitality and providing metrics to make sure we are measuring ourselves on a regular basis. Promise check is a new program where we solicit customer feedback to ensure we’re making the improvements necessary to meet their expectations. Our goal when developing Arby’s promise check was simple, gather direct customer feedback in a timely and actionable format. While there’s clearly a lot of work ahead of us at the Arby’s brand, we are confident that the Arby’s management team can begin to rebuild sales and restore restaurant margins to historical levels with our new marketing and operations strategies. Now, let me shift to a discussion about our merger integration, our leadership team and key profit drivers. In order to realize the full potential of our company and generate enhanced value for shareholders we had to first build a premier team and then ground them in a performance based culture. To that end, several months ago we announced new management teams for both brands and corporate. Our organizational structure allows each business to completely dedicate itself to brand delivery and operational improvements. Let me briefly review our organization and leadership teams. As CEO of both the corporation and the Wendy’s brand, I’m dividing my time between Dublin, Ohio where Wendy’s will retain its headquarters and Atlanta Georgia where our corporate office and shared service center is based and will Arby’s will retain its headquarters. My direct reports at the corporate level include CFO Steve Hare, General Counsel Nils Okeson, Chief Administrative Officer Sharon Barton, Chief Communications Officer John Barker and Senior Vice President of Strategic Development [Darrel Van Lickton]. At the brand level, my team at Wendy’s includes President David Karam and Chief Marketing Officer Ken Calwell who both report to me. Steve Farrar is the Chief Operating Officer and reports to David Karam. These three individuals have extensive backgrounds in the Wendy’s organization and more than 80 years of combined restaurant experience. They are uniquely qualified to help lead Wendy’s during the next phase of our development and I am very pleased with the progress this team has already made. At Arby’s Tom Garrett is President and Chief Executive Officer and reports to me. Tom’s team include Chief Operating Officer Michael Lipport and Chief Marketing Officer Steve Davis. Both Tom and Michael have extensive restaurant experience and a combined 45 years in the Arby’s system. Steve is a recent hire with prior experience in the QSR business at Pizza Hut and most recently as CMO of Heineken North America where he engineered a turnaround of that brand. As previously discussed, when the merger was announced last April we identified two significant key profit drivers the combination of which will deliver about $160 million in annualized incremental EBITDA by the end of 2011. G&A savings in the form of efficiencies and synergies represent about $60 million of the total. Our estimate was generated from a bottom up analysis of all the major functional areas of G&A and took in to consideration forecasted costs at both Wendy’s and Arby’s. By the end of 2008 we had already realized over $25 million of this $60 million target by reducing top level positions and other expenses and we’ve done so without sacrificing performance. In 2009 we are consolidated some departments at our shared service center in Atlanta which we estimate will yield an additional $10 to $15 million in cost reductions towards our $60 million target. Later this year we are planning to establish a new Wendy’s purchasing cooperative which we expect to generate cost savings for the entire Wendy’s system. Then, in 2010 we will complete key IT projects which will eliminate legacy systems and platforms and the related cost to maintain them. Importantly, all of our accounting and financial systems will be consolidated on a single platform enabling us to streamline our organization. We expect these projects in aggregate to generate an additional $20 to $25 million in savings thus reaching our $60 million target. Finally, as I said earlier we are also confident about improving margins by 500 basis points at Wendy’s company operated restaurants by the end of 2011 thereby generating $100 million in annual incremental EBITDA. The rationale behind this assumption was based on the operating history of the Wendy’s brand itself as well as the superior performance of franchise restaurants compared to company operated restaurants. Since a few years ago as I am sure many of you on the call remember, Wendy’s company operated restaurant margin was about 400 basis points higher than it is today. In addition, Wendy’s franchise restaurants have outperformed company operated restaurant’s margins by 600 basis points on about $100,000 less average unit volume. We have a detailed plan in place to achieve the margin improvements and our team if focused on this important goal. In summary, we are right on track with our key profit drivers and I look forward to updating you on our progress in the future. Now, I’d like to turn the call over to our Chief Financial Officer, Steve Hare.
Stephen E. Hare : I would like to discuss today a brief review of our fourth quarter results in 2008, the special items including goodwill impairment, our financing plans and our financial outlook. As a reminder and as John had mentioned earlier, the fourth quarter of 2008 includes results for both Wendy’s and Arby’s while the fourth quarter of 2007 only includes pre-merger Triarc results. Additionally, the full year 2008 results include nine months of Triarc results and one quarter of post merger results for Wendy’s and Arby’s. That makes quarterly and annual comparisons not meaningful. Now, let me review our fourth quarter highlights. As stated in the earnings release for the fourth quarter ended December 28, 2008 consolidated revenues were $896.5 million. Cost of sales were $697.2 million or 87% of sales. General and administrative expenses were 14% of total revenues or $125.6 million which includes integration costs. Operating loss was $433.8 million in the fourth quarter of 2008 but included pre-tax special items of $468.7 million. Adjusted EBITDA for the fourth quarter which excludes integration costs as well as facilities relocation and corporate restructuring charges was $74.4 million. Our net loss for the 2008 fourth quarter was $393.2 million and that included after-tax charges for special items of $417.9 million. On a diluted per share basis, the net loss was $0.84 in the fourth quarter of 2008 on roughly 469 million diluted shares and on a pro forma adjusted basis, excluding these special items, net income per share was $0.05. Let me now spend a few minutes discussing the special items that are included in these results. The charges were primarily related to non-cash items consisting of an impairment of the goodwill of Arby’s company operated store operations, an allowance for doubtful collectability related to a note we received in connection with the company’s sale of Deerfield & Company in 2007 as well as losses on equity investments. Now, as you know, management is required by accounting standards to access the impairment of goodwill and other long [live] assets on at least an annual basis. As a result of the deteriorating economy and adverse stock market conditions that affected business enterprise valuation combined with recent negative trends and operating performance at Arby’s we determined that goodwill related to the Arby’s company owned store operations was impaired. The $460 million non-cash charge represents 100% of the goodwill that was on the balance sheet for the Arby’s company operated stores. We also recorded a $21 million write down of the fair value of the note received from the sale of our former asset management business. The face value of this note is approximately $48 million and while we continue to collect interest on the note, the risk associated with repayment associated with the note principal caused us to record this non-cash charge. In addition, we have recorded $12 million of losses on various equity investments that are unrelated to our restaurant business. Now that we have discussed the consolidated P&L items, I will review our brands performance for the fourth quarter in some more detail. First at Wendy’s, same store sales at company operated restaurants increased 3.6% in the fourth quarter of 2008 reflecting the favorable impact of the initiative Roland has already discussed. Same store sales at Wendy’s franchise restaurants increased 3.8% and system wide same store sales grew 3.7%. There were six new company restaurant openings with a net increase of one company restaurant as well as a net increase of four franchise restaurants during the fourth quarter. We ended the quarter with 6,630 Wendy’s restaurants in the system including 1,406 company operated and 5,224 franchise locations. Wendy’s four wall restaurant margin was 11.7% of sales. Wendy’s incurred higher food costs which were offset by lower labor costs and lower other restaurant operating expenses. For Arby’s same store sales at company operated restaurants decreased 10.6% in the fourth quarter with the majority of the decrease related to lower customer counts driven by significant competitive discounting. Same store sales at franchise restaurants decreased 7.6% and system wide same store sales fell 8.5%. There were five new company restaurant openings with a net increase of three as well as a net increase of 18 franchise restaurants during the quarter. We ended the quarter with 3,756 Arby’s restaurants in the system including 1,076 company owned and 2,580 franchise locations. Arby’s restaurant margin was 14.6% of sales compared to 20.5% in the fourth quarter last year. In addition to deleveraging associated with the decline in same store sales, Arby’s also incurred higher food and other restaurant operating costs both in absolute dollars and as a percentage of sales. We believe that the recent introduction of the roast burger product line and our new marketing and operation strategy will improve sales trends and as we rebuild sales, restaurant margins should also improve. Now, I’ll make a few comments about our financial position. We ended the fourth quarter with $231.4 million in cash, cash equivalents and investments including restricted investments of $37 million. Long term debt was $1.1 billion, stockholders’ equity increased to $2.4 billion and reflected the impact of the Wendy’s merger. Capital expenditures for the fourth quarter were $50.7 million which included spending for new restaurant development, remodels and ongoing restaurant maintenance for both brands. Looking ahead, to maintain financial covenant compliance in 2009 and to enhance our overall financial flexibility we have begun a process with both of the Wendy’s and Arby’s lending groups to combine our revolver and term loan borrowings under a single credit agreement. Such an agreement with utilize Wendy’s and Arby’s combined results and more moderately leveraged balance sheet to determine future covenant compliance. The 2008 ratio of long term debt to adjusted EBITDA on a pro form consolidated basis was below three times. In addition, the amended credit agreement would enhance the company’s ability to manage and deploy cash. We expect to complete this amendment prior to filing our 2008 10K. Let me now comment on our financial outlook. First, we plan to open 10 new Wendy’s company restaurants and five new Arby’s company restaurants in 2009 which represents a reduction from 2008 openings of 15 for Wendy’s and 40 for Arby’s. We also have commitments from franchises to open about 80 new Wendy’s and 50 new Arby’s in 2009. We also expect to close some restaurants as their leases expire or the stores underperform. We expect this to result in our yearend restaurant count ending relatively flat with 2008. We expect to spend about $140 million on capital expenditures in 2009 which is about $60 million less than Wendy’s and Arby’s spent on a combined basis in 2008. We are certainly focused on preserving capital during this challenging economic climate. From a commodity and food cost perspective at both Wendy’s and Arby’s beef prices peaked in the fourth quarter and have sense declined significantly. We expect further decreases in beef and other commodities during the year. Now, Roland has already spoken about merger related G&A synergies and efficiencies. In addition, our management agreement with Trian for merger and acquisition consulting services will expire at the end of June representing approximately $6 million of savings this year. We also expect to realize corporate cost savings in 2009 resulting from the past elimination of expense from the prior corporate restructuring of Triarc. These expected savings are considered in our mid teens EBITDA growth rate. Finally, we believe that the combination of our merger related key profit initiatives and our brand growth strategies will enable us to deliver an EBITDA growth rate in the mid teens through 2011. With that, I will turn the call back over to Roland for some concluding thoughts.
Roland C. Smith : We’re pleased with the progress we have already made at Wendy’s and we are confident about our ability to revitalize this great brand. The merger integration process is on track and we are moving forward with our key profit growth initiatives. While fourth quarter results at Arby’s were disappointing we are optimistic that we can improve these sales trends with our new brand strategy focused on core roast beef customers. Although the restaurant industry as a whole is experiencing significant competitive challenges, the QSR segment continues to outpace both midscale and casual dining. Within the restaurant industry, the hamburger segment is the largest segment of QSR with about 30% of sales and is growing about 2% annually. While the sandwich segment comprises about 15% of sales and is growing about 7% annually. Our opportunity is to grow with the categories and to expand our share within these two segments. While we already have a very large presence in the United states, there are certainly main opportunities for growth in the US for both brands, particularly in the West and in the Northeast. This expansion will primarily come from franchise growth. We are also developing a long term strategy for international growth for both brands that will take some time to ramp up. W are focusing on three key areas of the world specifically Latin America, the Middle East and Asia pacific. We are also exploring the opportunity to develop Wendy’s and Arby’s dual branded restaurants. Dual branding would enable us to offer high quality products from two great brands under one roof. This gives us the opportunity to generate higher sales volumes and better returns on investments. We also believe this will make the Wendy’s and Arby’s brands more compelling for international franchise partners. So, in summary, we believe Wendy’s Arby’s Group represents a very compelling investment opportunity with EBTIDA growth in the mid teens. We look forward to updating you on our progress throughout the year and now I’d like to turn it back over to John.
John Barker : Just one thing before we go to questions. I’d like to mention that photos of the products that Roland mentioned today and during his comments and in the press release, they are on our website and we’ve actually embedded a link in today’s news release that will take you directly to those specific sites so you can see them, the roast burger and the fish and some of the other items. We also have links to our television commercials on that site as well. Now, we would like to open it up for questions and I’d like you to note that given the very large number of participants on today’s call along with I know a lot of interest you have to ask questions today we ask that you limit the number of questions if you could so that we can give everybody the opportunity. You can queue back up for questions if you have several and we’ll do our best to get through those today. Operator if you would now open the phone lines for questions.
Operator: (Operator Instructions) Your first question comes from John Glass – Morgan Stanley.
John Glass – Morgan Stanley: I appreciate all the detail on Wendy’s and your margin targets there for 2009. Could you maybe talk a little bit about your targets for Arby’s in 2009? Maybe what the margin assumption is there to get you to the mid teens this year? And, maybe your expectations for comps, do you still expect even after the roast burger and other products roll out for them to remain negative for the majority of the year or how do you see them trending throughout the year?
Roland C. Smith : As you know we are not projecting comp sales for either brand for the year at this point. Although, as I did say in my comments, we do believe that comp sales will be positive certainly over the next couple of years because that’s the only way we’re going to generate mid teens EBITDA growth. As you also know I think from looking at the data, the margins at Arby’s have declined over the last quarter primarily based on deleveraging and some food cost items also. We expect that the margins at Arby’s will also improve primarily based on improvement in the sales trends which will allow us to much more effectively manage our costs.
John Glass – Morgan Stanley: So there’s no commentary? Is there a differential you expect to obtain through this product or how has the product done in test markets? Is there any way to gage how much comp lift should be accomplished through this new launch?
Roland C. Smith : Let me go back to the test market. Obviously, we have launched this just recently because we were excited about the results of the test market and quite honestly I’m excited about how great the product tastes. That being said, I mean from a competitive standpoint I don’t think it would be appropriate to forecast what this is going to do either in mix or comp sales but we have great expectation for this kind of repositioning Arby’s from a strategy standpoint to go after and increase what we think is the most important kind of turnaround concept which is getting our medium Arby’s customers in our restaurants a little bit more often. As you know from my comments, they’ve told us that they will come more often, they love roast beef but they want some variety in roast beef sandwiches and they want a little better service when they get in the stores and that’s exactly what we’re focused on.
John Glass – Morgan Stanley: Just one more, looking across both brands, how much benefit do you get in 2009 just from lower commodities and maybe if you can talk about where you actually have visibility that is if you’ve contracted something in ’09 versus ’08 and how much benefit that is versus how much of it is just dependent on where the spot market is this year?
Roland C. Smith : Well first of all commodities is a broad range of things. Let me speak about kind of one of the biggest drivers in commodities which is beef for a second. As I think you know form our comments, compared to the highs in 2008 our beef prices have reduced significantly in the first quarter and as we look out to the remainder of the year, I think we can expect beef commodities prices to continue to decline. We’re also seeing some softening in the prices of other commodities that we think we’ll begin to take advantage of I think probably starting late second quarter or in the third quarter. That all being said, to be kind of transparent from the standpoint of what we’re expecting and you remember the last time we spoke we were forecasting commodities year-over-year, that’s 2008 to 2009 to be up around 2% to 4%. As we’ve seen some improvement in that it’s hard with what’s going on in the economy to have an accurate forecast so we think that maybe that’s a little overstated based on what we’ve seen in the fourth quarter.
Operator: Your next question comes from Stephen Kron – Goldman Sachs & Company, Inc.
Stephen Kron – Goldman Sachs & Company, Inc.: I guess a couple of questions first to follow up to John’s question. In your Wendy’s restaurant level margin improvement 160 to 180 basis points in ’09 does that include food cost moderating and coming down?
Stephen E. Hare : No.
Stephen Kron – Goldman Sachs & Company, Inc.: So any further decline in commodity cost that would be upside to those margin targets?
Stephen E. Hare : That’s correct.
Stephen Kron – Goldman Sachs & Company, Inc.: My other question is I’m trying to reconcile the pro forma adjusted EBITDA number that you reported today for the full year of ’08 of $367 million to the 2007 pro forma EBITDA that you presented back in April of ’08 when you guys first announced this acquisition, the delta there being about $107 million year-over-year on a like-for-like basis. I guess if I look at the margins that you guys outlined in this release at the restaurant level by brand I could see maybe Arby’s given to the negative of around $40 million of that delta but I know you also got positive $25 million from synergies. It seems like the margins at the Wendy’s brand really didn’t move all that much so maybe neutral on a year-over-year basis. So, I guess there’s about a $65 million gap if those two metrics are similar that I can’t reconcile so I was hoping maybe you could give a little more color on that?
Stephen E. Hare : I think if you look at what the information that is available out there we’ve got the pro forma EBITDA that we’ve attached for the year, you’ve also got the pro formas for ’07 as well as the year-to-date as John has mentioned and I think if you take that and bridge it with the fourth quarter numbers I think you’ll have the comparisons that you can make. Obviously, the big reduction has been around the Arby’s brand, the same stores sales decline as well as the margin contraction that you have seen primarily because of the sales deleverage. That’s really the biggest part of that gap. But, I think probably to do your question justice we would probably have to go through that in a little more detail and maybe I think when we get the 10K out for you what you’ll see is an updated look at the purchase accounting adjustments that were made and that will change some of the numbers that are available historically.
Roland C. Smith : The other thing I would say is that the same store sales at Wendy’s really did not pick up until the fourth quarter so I’m not what was in your model but they were flattish to slightly up and then you had a big improvement in the fourth quarter. You also had food costs that were a lot higher than anyone had predicted back when we first started taking a look at the numbers.
Stephen Kron – Goldman Sachs & Company, Inc.: Just the last question I had related to the debt and the effort to try and combine under one facility, in that effort do you plan to delever at all in that process and is there any early read on the implications of interest expense?
Stephen E. Hare : No, not really. What we’re really trying to do at this point is really amend the existing agreement that we have for Arby’s and pretty much preserve the basic financial covenants that are in the existing agreement but include the positive impact of a consolidated set of results as we determine covenant compliance going forward. We’re improving the credit for the Arby’s banks that are in the existing agreement and obviously part of that also as you point out will be a resetting of the interest rate to current market rates so there will be an increase. But, we’re just beginning that process so I can’t quantify that yet.
Operator: Your next question comes from David Palmer – UBS Securities.
David Palmer – UBS Securities: In the past in Wendy’s the former management had said that they would drive labor costs lower while driving sales per restaurant higher and improving customer satisfaction and as you know a lot of the folks in the street have said this seems to be an almost impossible combination of successes. Could you perhaps kind of go in to where you’re cutting labor, if at all? Fewer managers, fewer manager shifts, you mentioned removing breakfast, lower regional overhead to the grid that might be in our restaurant margins. Any color would be helpful?
Roland C. Smith : While that seems to be an anomaly on the face, depending on how you execute it has a big impact on how it will be received in the stores and also by the consumers. As you know from our comments this morning we’re actually pleased with the fact that in the fourth quarter we made some significant improvement on our labor as a percentage of sales. In the same fourth quarter we made significant improvement on our key attributes as it related to how our customers were actually relating to the experience so it can be done. Now, from a quantification standpoint what we have done is we’ve looked at our labor guides and I don’t want to get too technical here but we have a guide as you can imagine in each of our stores that relates to how many labor hours you get both management and crew depending on the number of dollars that you actually achieve in the store and this is done on not only a daily basis but less than an hourly basis to make sure you have the right number of people in the store to service the customer correctly. Once you have the positions filled for the revenue, extra people don’t provide better service for customers, they just cost more money. So, as we’ve looked at our franchisees labor guides and looked at our own labor guides we have found a significant number of areas where we can be more efficient. Some cases that means the manager would be more productivity. Productivity means not that they’re working hard, it means they’re actually on the schedule and they’re filling the position that might have to be filled by an hourly crew person if they weren’t. Other efficiencies are in the area of the number of crew people that you need but probably the majority of it is in the kind of shoulder areas where you bring people in and send people home because if you’re more reactive to that you can keep your labor hours down lower as you go forward. So, we think we can make these labor improvements, we’re already seeing them. Quite honestly our managers are reacting positively in the field because as we show them how they can make improvement and more important we give them the metrics and the tools to do it and maybe lastly and most importantly we reward them from a bonus perspective for doing it we’re seeing some real traction there and at the same time we’re seeing traction from the standpoint of our customers’ experience and we continue to be as you know the leader in speed of service at the pickup window and we made improvement in that in the fourth quarter and we expect to make improvement in that area as we go forward.
Roland C. Smith : One other thing David and I hope you saw these but embedded in the presentations we did back in January, both at Cowen and ICR were two very specific charts that took you through how this margin improvement would happen by year as well as by major categories. So, you can click on that and take a look at those if you haven’t seen them.
David Palmer – UBS Securities: Is there a fraction that kind of says where you are in sort of your progress in closing the gap between you and the franchises even thus far or is it brand new?
Roland C. Smith : I don’t think a fraction is what we have but just kind of reiterating a little bit to make sure we’re clear, we’re expecting 160 to 180 basis point improvement this year and to achieve that we’re going to have to be at a run rate by the end of the year of about 250 basis points which is about half of the improvement we expect to make based on the comparisons to our franchisees. So, if I were forced to a fraction I’d say that by the end of the year our run rate should be about 50% of the target that we’re hoping to achieve.
Operator: Your next question comes from Jason West – Deutsche Bank.
Jason West – Deutsche Bank: I just wanted to clarify the comments around the value menu, I believe you guys said that’s now running at about 15% of sales in the company restaurants. If you can talk about where that was a year ago and how customers have responded to the reduction in some of the items there? And, how that’s impacting your traffic and overall ticket?
Roland C. Smith : You are correct, as I mentioned a few moments ago we see our $0.99 value menu representing about 15% of revenue recently and that is down from previous periods of a high of around 20% or so. We’ve been able to do that by taking a number of items off the $0.99 menu and price them higher because we believe that consumers felt they were a better value even at a higher price, as I mentioned chili, baked potato and chicken nuggets. What we did do at the same time was introduce our value trio at $0.99 which as you can imagine we were a little concerned that if we didn’t do anything but launch that brand new program we might drive our percent of $0.99 revenue above what the historical levels have been. Fortunately, that did not happen. The combination of taking menu items off that $0.99 menu and adding value trio has actually both kind of improved transactions and improved sales. As you know we produced at the company stores 3.6% comp store sales increase in the fourth quarter and if you exclude the impact of breakfast where we closed a number of stores, it was actually over 4% which we are very pleased with. Our consumers seem to be resonating with the message from the value trio. As you know from our advertising we really have taken a position that we believe our competitors cannot compete on which is not only do we have $0.99, we have great variety and we also have great quality. So, the combination of those three products along with the $0.99 has brought in a significant amount of customers and hasn’t really negative affected our check, our check is actually up somewhat in the third quarter versus what it was previously. So, we’re pretty excited about how that is working with our customers and on our menu and we have expectations in 2009 that we are not only going to launch some exciting new products that we think will resonate with our customers at the high end, I mentioned that earlier today. We’ve got a new chicken temptations product that we plan and also a new signature hamburger but we will come back to the consumers on a pretty regular basis and talk to them about the fact that Wendy’s continues to have great value. That will be the value trio as well as additional value messages that we may introduce based on testing that we currently have in the marketplace.
Operator: Your next question comes from Larry Miller – RBC Capital Markets.
Larry Miller – RBC Capital Markets: My question is even related to the 5% reduction you saw in the $0.99 menu. I’m curious if you guys can parse out a little bit in more detail the Q4 margins because if you went down 5% on the $0.99 menu you should have had a nice boost in restaurant level margins at Wendy’s and you talked about food cost being an offset so maybe you can talk about how much that was? You had labor and operating expense were down. Then, as an aside to that what would be helpful is kind of getting the EBITDA of the two brands in 2008 if you would.
Roland C. Smith : Larry, we’re not going to talk about individual components of the P&L margin for each brand. But, I will try and kind of maybe reiterate and hopefully help you understand kind of some of the question that you’re asking us. As you know and as almost every restaurant company experienced in the fourth quarter, food cost rose to record highs. So, we were impacted by that at Wendy’s just like all of our competitors were. That being said, we were able to maintain our margin at least as well as we did because we made a significant progress in labor and other expenses which I mentioned were about 100 basis points. So, the combination of the fact that food cost commodities went way up, somewhat negated any benefit that we would have had from the standpoint of average check, from the standpoint of what might have happened of our impact with the $0.99 menu.
Larry Miller – RBC Capital Markets: Maybe I could ask it a different way, there might be another way to kind of get at it, how much on an annual basis would the 5% reduction in the value mix add to Wendy’s restaurant level margins? Then, let me ask another part of that too which is on the breakfast side, how much is a return to breakfast business in 2011 suppose to add to that mid teens target as well?
Stephen E. Hare : Larry, let me elaborate a little bit on the question on value. The three items that Roland is talking about that are on the value trio, those would as you can imagine necessarily have slightly higher food costs, right. Some of the items that are no longer in that mix now of what we’re calling 15% those typically would have slightly lower costs. So, I can take you through that sort of offline but there’s a whole mix going on, on what items are [inaudible] in the $0.99 menu that are in the 15%. So, the flow through on the margin might not be as good as what you’re thinking okay. You’d have to literally go item by item and look at it.
Roland C. Smith : One also comment, if you go back to our previous discussions and some of the information that we provided, we tried to get fairly granular and John has mentioned this, we certainly can give you a copy of this, as we went out and kind of introduced ourselves at the first time at the Cohen conference and then at the ICR conference we talked about what we believed were the specific components of our 500 point margin improvement in each of the key P&L areas. We talked about labor, we talked about what we call controllables which is really repair and maintenance and other costs, we also talked about food. If you go look at those numbers in particularly I think you’ll see that we are expecting food to help us over the next couple of years as we get to 500 basis points improvement but not as much as the other two categories. In fact, it’s a little less than 100 basis points and we think that’s the combination of mix shift that I talked about earlier and also being more diligent from a standpoint of holding our management teams more accountable to achieving a food cost number closer to the theoretical that is generated by the POS in our stores. Those are the two things that we’re really looking forward to from the standpoint of improvement and that mix shift quite honestly is part of what you’re talking about here.
Larry Miller – RBC Capital Markets: I ask because I think it’s an important part of that clearly and yet you had a really good change in the mix and didn’t give up any same store sales so it was an interesting trend. Can you comment about how much breakfast is part of that mid teens EBITDA margin growth in your plan?
Roland C. Smith : Well, as you know from a breakfast standpoint there’s two components. We have taken kind of a number of stores offline from the standpoint of having breakfast while we retooled it and I mentioned why we needed to do that. That has cost us about seven tenths of a point in the fourth quarter and we think as we go forward it will cost us about a point and a half because while those sales were not profitable previously they were sales that we have to comp over. From the margin standpoint taking those out of the store also helped us improve our margin because we are now producing more effective program that is margin plus. The overall impact in our results in the fourth quarter from a margin standpoint wasn’t that great, it was minimal.
Larry Miller – RBC Capital Markets: But on a go forward basis is it 10% of the EBITDA target or near something like that?
Stephen E. Hare : It’s going to be small. It’s going to really depend on the rate of rollout of stores and by the time we get national Roland talked about, about 2001.
Roland C. Smith : And just elaborate on a little bit, we’re expecting to roll it out in 2011 as I said. We talked about mid teens EBITDA growth through 2011 so obviously it’s not a large component on that at this point. It continues to be a big opportunity. You know what our other competitors do from a volume standpoint so $150,000 to $200,000 is certainly not something that is out of question, you can do the math on what percentage increase that is in sales. The other added benefit as you know is that if done correctly breakfast day part sales tend to be at a higher margin because we already have our fixed costs covered. So that also should help us improve our margins if we do it the way that we’re moving forward on.
Operator: Your next question is from Steven Rees – JP Morgan.
Steven Rees – JP Morgan: I was wondering if you could just talk a little bit about the value strategy at Arby’s going forward because it sounds like a lack of value or I guess increased promotion on everyday value menus by the QSR competition is part of the problem for the comp decline. So how do you see an every value menu fitting into the Arby’s strategy? I know you’ve got some products in test but when might we see more of a value for this add for this initiative?
Roland C. Smith : Let me talk about the Arby's strategy in a little bit more detail and we’re pretty excited about this. First of all let me go back to how we developed it. If you take a look at frequency among the big QSR competitors the frequency of our average customers is much less than our competitors. As we’ve looked at that and asked them what drove that in their purchase decision or core customers, we’re calling them max obviously said it’s because we need a variety of roast beef offerings although we love your roast beef sandwich it’s the same thing that it’s been for 44 years. We also need you to improve your overall service. So we went after the process of doing both of those things and that’s what really drove our roast burger line and what will drive the work that we’re doing right now to extend or expand our roasted meat heritage into chicken, turkey and ham. Now we’d have to have our head in a hole in the ground if we weren’t looking at what was happening in the marketplace and obviously seeing how well we were able to perform at Wendy's by offering a more compelling value strategy. We began to look at that very significantly months ago at Arby's but we made the strategic decision that we weren’t going to take our core premium product that has got us basically through 44 years of success and just discount it because the history books are full of brands that if they do that they generally denigrate their brand for a long, long time and in some cases they can never recover because your consumer stops believing that it really is a premium product. So we needed to go out and actually develop a new line of products that we could test from the standpoint of offering a more compelling value positioning for our customers and those types of things are in test now like a dollar menu with different re-engineered products that aren’t our premium product and while they’re smaller, they’re junior or whatever the case, it offers a price point that works from a margin standpoint and we think it also works from the standpoint of consumers as they want to come in and participate from that value type of positioning. This is now different than what many of us have read about and I think has been called the barbell strategy. We’re going to continue to be known as a premium brand serving great quality products but in this economic environment we’re testing a number of value opportunities that we think we can pick up some of those value customers that we’ve lost based on the significant discounting of our competitors. We’ve got this dollar menu that we’re testing. We’ve got four for five that we think has some merit. We’ve also got $1.99 melts that we’re also testing and we will put on our menu and extend or expand the one that obviously does the best in our tests.
Steven Rees – JP Morgan: So, if the roast burger doesn’t allow trafficking in the near term is it safe to say we could see more of a value message by the second half?
Roland C. Smith : It’s hard to speculate about that to be honest with you. I could tell you that we aren’t planning for that to happen because we’re excited about the test results and we think that this is exactly down the fairway of what our core customers have told us that they wanted.
John Barker : Operator, we’ll take two more questions.
Operator: Our next question is from the line of Paul Westra – Cowen & Co.
Paul Westra – Cowen & Co.: Just a follow up, not to beat a dead horse, but on the $0.99 menu mix question, what is the mix currently of the chili, baked potato and nuggets? You added that back as the apples to apples comparison about the same.
Roland C. Smith : I don’t know the answer to that question. We can get you that offline today or tomorrow. The mix hasn’t really changed. If your question is we took it up to $1.19 and $1.39, people stopped buying it. That’s typically not what happened. Fortunately with the baked potato and the chili as you know like other items on our menu you can’t get them anywhere else. So the people that want them tend to come in and get them. Our belief quite honestly was that we were providing them to them at that price was somewhat of a surprise. They come in not necessarily because it was $0.99 but because they wanted that particular product. They’re happy to pay $0.99 for it but we think they’re also equally happy to pay $1.19 or $1.39.
Paul Westra – Cowen & Co.: One modeling question, could you give some more color on the cap ex number of $140 million? Is that a normalized rate assuming no big initiatives on an annual basis going forward? Then a quick question on depreciation, is that $195 million you posted, is that a good normalized annual number for modeling?
Stephen E. Hare : I think in terms of the cap ex number that we targeted for 2009, that’s a good baseline number for us for the next or two with the exception of it’s got probably a lower than what we would like number for new unit development of company stores. Again depending on how the economy shapes up here. At some point I’d like to see us ramp up the number of units which would cause that cap ex to go up some but I don’t think dramatically and I think it’s probably some time out there. I think for now that $140 million it certainly includes all our normal needs in the categories of remodel and ongoing company maintenance. From a depreciation standpoint, the number that you’ve got what you’ll probably need is take a look at the 10-K when it comes out because with the purchase price adjustments I think that depreciation number will come down a little bit.
John Barker : Operator, we’ll take one last question and then we’ll have closing comments from Roland.
Operator: Our last question is from Justin Mallard – Lord, Abbott & Company.
Justin Mallard – Lord, Abbott & Company: Roland, just back to the burger launch, Arby’s and your comment about the medium user, was there something, was there a product gap that you guys thought you could exploit relative to the sandwich line? Like you said you got those sandwich guys discounting that end of it. You want to infuse some newness to the base business. Is that where the customer was telling you to go?
Roland C. Smith : Yes, they were telling us that they loved our roast beef, it was something they could get nowhere else but just like any other business they wanted more variety. As we talked to them about what that variety could be, we came up with this line of free sandwiches that it’s hard to talk about it until you have it, but it’s a fantastic product. In fact we’ve been eating them like crazy for the last week or so since they’ve been out on the marketplace and you’ll see our advertising. What it does from the standpoint of comparing to competitors is that it’s a great tasting sandwich that isn’t greasy and isn’t frozen and some of the stuff that our competitors are forced to do. We’re pretty excited about it.
Justin Mallard – Lord, Abbott & Company: Steve, just a couple other below the line comments. I think somebody asked about the debt and the interest rates, I thought you had said that the rates you thought would go up maybe I didn’t hear that right, but I would think with the increased balance sheet, if you will, but that should provide an opportunity let alone the underlying rates will be lower, is that fair?
Stephen E. Hare : The Arby’s credit agreement was put in place back when we bought RTM so 2005 so the rates on those facilities in this environment have increased. We expect as part of the amendment process the underlying borrowing rate of the Arby’s credit agreement which is LIBOR plus 2.25 today we think that is going to go up. But, again I can’t quantify that for you but that’s on our term loan outstanding which is less than $400 million now. So, again, for the tradeoff of what we think is very helpful financial flexibility going forward, really being able to use the strength of our moderately leveraged balance sheet with the consolidated strength of the Wendy’s operations plus the Arby’s operations, we think it’s absolutely the right thing for us to do at this point in time.
Justin Mallard – Lord, Abbott & Company: Then just lastly on the equity, I think you said $12 million or $14 million on the charge in the quarter on the equity investments. What’s your plan there I guess now with the separation of the former parent, will that go away maybe [inaudible] as the service agreement comes off or how you guys think about that going forward?
Stephen E. Hare : There’s a separate agreement other than the Trian agreement. The Trian agreement we represented was the M&A services agreement that helped us obviously with the Wendy’s merger primarily. But, separate from that we have an equities account that we originally funded with $75 million and that is managed by the Trian Fund. That agreement goes to the end of 2010 so that will stay in place. But, that’s where some of these – it’s managed externally and with the stock market like any other equity investments as they go down we’re forced to record those losses once we think they are other than temporary. So, that is not something that we can – you may have seen that we’ve withdrawn some funds in 2008 so we’ve reduced the amount that is in and actively invested in the stock market but fundamentally that will stay in place to the end of 2010.
Justin Mallard – Lord, Abbott & Company: Then at that point does it get redeemed?
Stephen E. Hare : At that point the agreement to keep the funds in would be terminated at that point so I would guess we would take that investment turn it to cash and put I back in to the operating company.
Roland C. Smith : Thank you all for participating in just a minute or so I’d like to kind of just summarize what I hope you will take away from our call and our questions today. First, we have started the revitalization of Wendy’s. We’re excited about what we produced in the fourth quarter with some great comp sales performance. Two, we think we have a solid plan to improve Arby’s and turn around our sales trend. Three, as I discussed with you we think our profit initiatives are on track from both a G&A standpoint and a margin improvement standpoint at Wendy’s. Four, as Steve talked about we do expect to amend our credit agreement. And five, we do expect to produce EBITDA growth in the mid teens. I look forward to following up with many of you one-on-one and talking to you in the future.
John Barker : If you have follow up questions later today please reach out to me or Kay Sharpton who is on the call. The numbers are listed on the bottom of today’s earnings release. Thanks a lot.
Operator: Ladies and gentlemen this concludes the Arby’s and Wendy’s fourth quarter 2008 earnings conference call. Thank you for your participation. You may now disconnect.